Operator: Good day, everyone and welcome to the Earnings Call for Western Alliance Bancorporation for the Second Quarter 2014. Our speakers today are Robert Sarver, Chairman and CEO; and Dale Gibbons, Chief Financial Officer. You may also view the presentation today via webcast through the company’s website at www.westernalliancebancorp.com. The call will be recorded and made available for replay after 2:00 p.m. Eastern on July 18, 2014, through Friday, August 1st, 2014, at 9:00 a.m. Eastern Time by dialing 1-877-344-7529, using the passcode 10048463. The discussion during this call may contain forward-looking statements that relate to expectations, beliefs, projections, future plans and strategies, anticipated events or trends and similar expressions concerning matters that are not historical facts. The forward-looking statements contained herein reflect our current views about future events and financial performance and are subject to risks, uncertainties, assumptions and changes in circumstances that may cause our actual results to differ significantly from historical results and those expressed in any forward-looking statement. Some factors that could cause actual results to differ materially from historical or expected results include those listed in the filings with the Securities and Exchange Commission except as required by law, the company does not undertake any obligation to update any forward-looking statements. Now for the opening remarks, I would like to turn the call over to Mr. Robert Sarver. Please go ahead, sir.
Robert Sarver: Thank you. Welcome to Western Alliance's second quarter earnings call. This was a great quarter for our company. We had exceptional balance sheet growth, record revenue and record profitability, and record operating efficiency under 50%. Our credit recoveries led to a net recovery position for us as our portfolio continues to improve. Dale is going to take you through some of the details of the financial operations and then I am going to conclude talking a little bit about our outlook for the third quarter in the future, and then we will open it up for the questions.
Dale Gibbons: Net income was $35.5 million or $0.40 per share for the quarter compared to $0.35 in the first. In the second quarter of 2013, EPS was $0.39 which was augmented by a $10 million bargain purchase gain from the acquisition of Centennial Bank. We have record total revenue of just $100 million. Loan growth was $436 million which was 6.1% on a linked quarter basis and annualized. Deposits were up $320 million or 3.9% for the quarter. At June 30th, total assets just -- was just over $10 billion. Net interest income for the quarter included an increase of $2.1 million over the first and accelerated discount accretion from the disposition of purchase credit impaired loans primarily from Centennial. This change in some of the volatile revenue source increased EPS by $.02. Our tangible book value per share increased $0.70 during the quarter to just over $9, benefiting from the $0.40 in retained earnings, securities marks as well as the transfer of our held-to-maturity securities portfolio to available for sale. This will provide us increased flexibility for interest rate risk management as we likely begin our rising rate environment. NPA's declined to 1.23% of total assets as non-performing loans fell compared to 1.86% a year ago. As with the first quarter, recoveries of prior charge-offs exceeded the new loan losses during the quarter as Robert mentioned. Despite our strong balance sheet growth, capital remained strong with our leverage ratio at 10% and our tangible common equity ratio climbing 7.9%. ROA was 1.46% and return on tangible common equity again exceeded 17. Our record loan growth of $436 million was comprised of $305 million in commercial and industrial, $92 million in investor real estate and $55 million in construction, which now comprises 8% of the loan portfolio. The company has continued to diversify its loan portfolio with C&I growth which at 40% today is the highest proportion since the company went public in 2005. A quarter end run-up in our DDA balances contributed to our larger than expected deposit growth of $321 million. CDs and interest checking grew $171 million in aggregate during the quarter while money markets fell $35 million. During the quarter, we closed our treasury short position which reduced investments in cash line items by $111 million. We reduce this short increase our asset sensitivity, but have now also planted it with -- by increase in our pay fixed swaps by over $250 million. The company is now asset sensitive and better positioned for rising rate environment than at any other time in the past five years. Primarily a result of loan recoveries, our credit loss allowance rose to $106 million during the quarter, a strong loan and deposit growth pushed our total access to just over $10 billion at March 31 -- at quarter-end. Total shareholders' equity grew $63 million from retained earnings as well as higher securities valuation. Net interest income was up $3.1 million over the first quarter to $93.9 million as early payoffs on credit impaired loans added 2.1 like I mentioned. Total revenue was $99.6 million, up 14% from $87.2 million in the second quarter on a reported basis. However, we have been growing our tax exempt income faster than taxable revenue as part of our tax mitigation strategy. This has resulted on a taxable equivalent basis our total revenue climbing 17% during the past year. Meanwhile, total operating expenses increased $5.1 million or 10.8% from the same period a year ago to $52.2 million are essentially flat from the first quarter. Net loan recoveries and continued improvement in our moving average historical loss experience which is an input in evaluating our reserve adequacy, resulted in a row vision of $0.5 million for the quarter and resulting pretax income of $46.7 million. Higher tax exempt income again pulled down our tax rate and we finally discontinued our discontinued operations, expect no more charges going forward. Net income of $35.5 million and net of our small business lending fund preferred stock dividends resulted in EPS of $0.40. As we introduced during the first quarter earnings call with the consolidation of our bank charters at the end of 2013, we modified our segment reporting to reflect the Arizona, California, Nevada geographic regions where we offer commercial banking services to our network of 39 offices, and our national business lines which house specialty financial services that are essentially managed and offered on a larger geographic scale. 63% of our national business lines loans are actually in Arizona, California, and Nevada, they're just businesses that we look at in aggregate like municipal lending, for example. Others in this category include our Alliance Association Bank which provides deposit and loan services to homeowner associations, equipment finance, non-profit lending, corporate finance, mortgage warehouse, and reserved finance. Each of these segments comprises roughly one-fourth of our loan book at June 30th. During the second quarter, loan growth was driven by a $99 million increase in the Arizona segment and $32 million in California. From the national business lines, loans grew $138 million in resort finance, $81 million in corporate finance, $46 million in municipal, and $34 million in mortgage warehouse. On the deposit side, Arizona and California are each about one-fourth of our total footings with about a 50% higher proportion in Nevada and a commensurate lower contribution from the national business lines. California and Nevada each grew about $140 million during the quarter with a $53 million increase in Arizona and $41 million from our HOA division in the national business segment. Taxable equivalent revenue by segment follows the distribution of loans plus deposits, Arizona and California which have a more balanced, roughly 25% each of the $104 million in revenue, while Nevada and the national businesses have revenue contributions at proportions between their respective deposit and loan percentages. Taxable equivalent pretax income, Nevada and Arizona roughly tied at the highest contributors with $17.5 million each while California earned $14 million. The lower level from the national lines of $6.8 million was in part hampered by a loan loss provision to support their strong loan growth; most of the other segments reported a negative provision during the quarter which aggregated to $0.5 million for the company as a whole. The cash position of the company was essentially flat during the quarter; with the investment portfolio contracted somewhat to in part fund our strong loan growth. The seven basis point decline in securities yield resulted from an increase in valuation marks on the portfolio that increased the book balance without a change in portfolio revenue as cash flow remained essentially flat. Including disposition gains on purchased credit impaired loans, the loan portfolio yield rose slightly you to 5.29% from 5.27%, while our cost of funds has continued to remain very stable, fluctuating only 1 basis point during the past year. The interest margin decline of 2 basis points during the quarter to 4.39% was softened by an increase in income recognition on credit impaired loans from $3.4 million in the first quarter to $4.9 million in the second. Excluding from the margin the effect of the disposition accretion on impaired loans which are shown in blue in the lower graph, the margin would have declined from a 4.37% in the second quarter to a 4.26% -- from the first quarter to a 4.26% in the second quarter. The recurring accretion on such loans was $1.8 million during the second quarter, equivalent to 8 basis points on the margin. Operating expense was flat to the first quarter at just over $52 million while taxable equivalent revenue grew 3.3% during the quarter unannualized to $105.6 million, which took our efficiency ratio down to 49.4%. Compensation and IT costs have climbed the most in the past year, primarily due to incentive compensation payments and systems upgrade and integration expenses. FTE employees increased by three during the quarter to 1,112. Pretax, pre-provision income rose to a record $47.4 million during the quarter, while as a percentage of assets, the ratio climbed slightly to 1.95%. As I said, ROA was 1.46%. Organic diversely-graded assets consisting of ORE, non-performing loans, other classified loans, and other assets especially mentioned declined to $288 million during the quarter and are down 15% from a year ago. Acquired adversely-graded assets fell to $60 million, which is net of $38 million in credit and rate discounts. Two-thirds of our $64 million in non-performing loans were current with regard to contractual principal and interest payments at quarter end. Our gross loan charge-offs were stable during the quarter at only 11 basis points of average loans or $2 million while recoveries climbed to $3.5 million resulting in a net recovery of $1.5 million for the quarter, compared to net losses of $2.7 million in the second quarter of last year. Year-to-date net recoveries have averaged 5 basis points of total loans, while our total reserve climbed to $106 million with our $500,000 provision for the quarter; strong loan growth pulled the loan loss reserve ratio down 6 basis points to a still strong 1.4% of total loans which is 165% of non-performing loans. Our regulatory capital ratios are flat to slightly up during the quarter as our continued asset growth has been matched by consistent internal capital generation. The increase intangible common equity to 7.9% at quarter end includes $19.6 million increase in other comprehensive income as shown on the balance sheet which is excluded from the regulatory capital analysis. Our strong ratios are confirmed under the Basel III framework which takes effect next year with each ratio haircut only modestly through the tightening of eligible capital standards and an increase in risk weighted assets under the new rules. Our capital actions resulted in an increase in our tangible book value of $0.70 during the quarter to $9.02. EPS added $0.40. Lower interest rates improved our securities valuation by $0.12 after tax, while the transfer of our held-to-maturity portfolio to available-for-sale added another dime. We sold 115,000 shares during the quarter through our at-the-market equity issuance program at just over $24 a share which added $0.02 and other items that primarily consist of stock issued as part of employee compensation and the company 408(k) plan added $0.06. Our tangible book value is up 24% in the past year from $7.26 at June 30, 2013. We expect it will continue to climb faster than our rate of return on equity as we continue to dribble out our stock from our ATM and the equity issuance cost resulting from restricted share awards.
Robert Sarver: The more muted deposit growth that we expected in the second quarter and discussed in our first quarter earnings call was deferred as we had a run up in DDA at quarter end that is now partially come off. Consequently, we expect deposit growth to slow this quarter. Seasonally, the third quarter growth has tended to be the slowest of the year for the company as many people; particularly in Arizona and Nevada are on vacation. All in all we feel comfortable that we will exceed our $ 1 billion organic growth goal that we established for both loans and deposits for this year. Our margin should decline this quarter since the acceleration of revenue recognition from disposition and discounted loans will likely be lower. However, the rates of new loan originations continues to track the rate on pay downs so we expect that the decline will still be somewhat modest and we can earn through that with higher loan balances. While we achieved our target our under 50% efficiency ratio this quarter, we seek continued opportunity to have revenue growth outstripped out of expenses and look for continued improvement in our efficiency ratio. Our asset quality outlook continues to be very good with low levels of gross losses and a continued tale of recoveries, particularly in Nevada. At this time I would like to open it up for questions.
Operator: Thank you. We will now begin the question-and-answer session. (Operator Instructions) The first question comes from Joe Morford of RBC Capital Markets. Please go ahead.
Joe Morford – RBC Capital Markets: Hey, good morning guys.
Robert Sarver: Good morning.
Joe Morford – RBC Capital Markets: Good show on the loan growth front. I just wondered if the -- you had a little more color in terms of kind of the activity how broke out between, kind of, new credit extensions and advances versus kind of pay down and payout activity? And also if you had any color on -- or there any change in the utilization rate in the C&I portfolio this quarter?
Robert Sarver: The utilization rate not much changed. We're primarily a short term lender so we get quite a bit of pay downs, scheduled payoffs et cetera, et cetera. As a example, and I don’t have specifics for this quarter, but when we budget a $1 billion in net loan growth for the year, that’s making $2.5 billion of loans. So there is a fair amount of movement in the portfolio and that’s what helps that to our yield too, because are able to bring in fees and income et cetera, et cetera. In terms of this quarter, looking at the top 25 loans we made for the quarter, two-thirds of those were new customer relationships to the bank.
Joe Morford – RBC Capital Markets: Okay. That’s great. And then just one little follow-up Dale, technically any guidance for the tax rate going forward. What's a good rate to use there?
Dale Gibbons: Yeah. We think its going to continue to be under 25. So we came in a little lower than that, little lower than the first quarter, and we think that’s a good run rate for -- at least for 2014.
Joe Morford – RBC Capital Markets: Okay. Thanks so much.
Operator: Our next question comes from Casey Haire of Jefferies. Please go ahead.
Casey Haire – Jefferies: Hey, good morning guys. So, question on the -- dig a little deeper in the NIM. The -- number one, the -- you mentioned the purchase accounting, the discount accretion help, when -- obviously going little bit lower. But how long until -- what's the lifecycle on that -- on the 1.8 million there. When does that start to really fade away? And then number two, like what is the new money yield on production in terms of new money yield on production? Thanks.
Dale Gibbons: Yeah. So the accreteable yield piece was a $1.8 million last quarter, it's going to be $1.6 million this quarter. That holds fairly flat through the end of 2015. Starts to ebb off a little bit in 2016, but even goes out to 2018. So, it's fairly flat until it gets a little bit of a haircut in 2016. The loan yield versus -- the loan yields came in -- of originations came in by 10 basis points lower than the payoff rate. So we were -- a little bit of a haircut there. I think that was kind of a contributing factor. But when we look at our growth and how it came in during the fourth quarter which was kind of backend weighted on the quarter, we feel pretty good that the margin is not going to fall any more than is already implicit by what we talked about in terms of the decline in the recognition of non-accreteable yield that we had. So, I'm looking for something to come in at kind of a low 430s for 3Q.
Casey Haire – Jefferies: Okay. Got you. And then just longer term, it seems like the asset sensitivity profile is improving here based on some of the things you are doing in securities book, and then obviously the C&I momentum has been great and that concentration is increasing. Is that by design? I mean should we expect the C&I book to be 50% of loans in a year and just it feels like the asset sensitivity profile is really kind of gaining some steam here.
Dale Gibbons: Yeah, it has moved significantly. And most of the growth, as we mentioned, has been coming in C&I, I think that’s going to continue. We certainly have opportunities in CRE as well. So those -- but, I think, the proportion, I think the momentum is to probably move more and more to C&I, at least for where we are in the business cycle at this point in time. And as you mentioned Casey, those are -- those tend to be more variable rate instruments. But we've also done a lot of swaps. We've put on 250, as I mentioned, since the beginning of this year, but now our swap portfolio is almost 600 million, and we're paying fixed and receiving variable. So we think we are well positioned for a rising rate environment, even though it hasn’t happened yet, obviously.
Casey Haire – Jefferies: Okay. And…
Robert Sarver: It's Robert. We also think that some of these owner occupied commercial real estate loans are getting mispriced right now. It’s a little more of commodity. So of the larger banks are pricing those things too low, and so that’s why you don’t see that bucket going up for us.
Casey Haire – Jefferies: Understood. Okay. And just on the efficiency ratio front, obviously, it sounds pretty good there. This feel like you guys can go lower from 49 level today. But, just wondering you guys have been candid about the higher regulatory expense burden above $10 billion. I'm just curious what is your confidence level given -- that you've got it right given that we've seen a couple of your -- a couple of banks between these sizes of $10 billion to $50 billion. Be somewhat surprised by what is required to keep regulators happy.
Dale Gibbons: Well, we've, obviously, had a number of conversations with them. And we've factored in that we are going to be increasing our cost to reflect the-fast (ph) and higher levels of review. And we think that’s actually not all -- it can be certainly helpful in terms of -- to the degree we had somebody else that is also very concerned about risk management. So, we're kind of looking forward to where we are. We think that the costs are reasonable and that we are -- and that we have concerned them in what we talked about in terms of keeping our efficiency ratio under 50.
Casey Haire – Jefferies: Okay. And just last one for me on the M&A front. Obviously, you guys have made it known that you guys want to be active there. What -- we haven’t seen any activity. But what -- so what's the number one reason that you are running into for not announcing a transaction.
Robert Sarver: I think our stock is too cheap.
Casey Haire – Jefferies: So, it's not -- it's not lack of sellers or…
Robert Sarver: And the amount of sellers is picking up now. We have got more sellers than we have ever had for good banks. But, you know, I just think we will probably in a better position over the next six months in terms of our stock. We are trading into a little more -- a little better multiple on earnings.
Casey Haire – Jefferies: Got you. Thank you.
Operator: Our next question comes from Brett Rabatin of Sterne Agee. Please go ahead.
Brett Rabatin – Sterne Agee: Hi, guys. Good morning.
Robert Sarver: Good morning.
Brett Rabatin – Sterne Agee: Wanted to, I guess, first ask about the National Business Lines and that's where you guys obviously had the growth in the quarter. Could you go back over, if you could, kind of where -- how that broke out? I know you mentioned a little bit on your prepared comments, but just what pieces drove that, and kind of what the allocators for some of those businesses?
Dale Gibbons: Our biggest growth came in our resort finance area which does financing for time shares and that growth, I think has been strong. I think the outlook for that continues. We have -- we also had growth in our corporate finance area that is -- has a portion of shared national credits. In total our shared national credits total 7% of our loan portfolio, and was about 20% of our loan growth, less than $100 million. We also have growth in municipal. Municipal continue to look strong for us, and we think that outlook also continues to be good. And we are making really some progress on our HOA lending. We have got about $800 million now in deposits in that category. And we have been offering those services and that has -- that's had good growth. It’s still a fairly low balance, but the percentage increases are off to a good start.
Brett Rabatin – Sterne Agee: Okay.
Robert Sarver: So, to add to that, you know, Dale mentioned 63% of our -- of the customers in our national lines of business are based in one of the three markets. But even the customers that are based outside of our market, with technology, can still do depository business with us. So, on our national line of business the majority of the customers, we are lending money to there are also depositing with us. And so we look at it more as is the full relationship.
Brett Rabatin – Sterne Agee: Okay. That's helpful color. And I guess, the other I was just curious about was you mentioned the swaps, an asset sensitive, do you guys plan to do anything else to further that or do you kind of have the balance sheet in the positioning on an assets sensitivity front kind of where you want it at this point?
Dale Gibbons: We think we are well-positioned kind of where we are. There have been other things rather than more of a kind of direct action like a swap intervention and that is just as we were talking about kind of the mix of the portfolio. Robert talked about pricing on CRE, obviously those are preponderantly fixed rate. And as we move to C&I, that's have a natural movement that takes us to a more asset sensitive position. We also are pretty comfortable in terms of our liability structure. We are overwhelmingly kind of core deposits and those are administered rates. And we don't have to -- we control how much we're going to be paying on those. So we feel pretty good in terms of, you know, historically how those -- how deposit pricing has behaved. And we have dialed in that we will be raising rates faster than we actually cut them. I am not sure that's the case, because we certainly paid more than the majors in our respective markets. And we are not to going really have any impetus to raise our deposit cost unless we see Wells, BofA, JPMorgan pushing theirs significantly. And as everyone has seen their liquidity is substantial today. And I realize that there's some forecasts that may come off a little bit. But we have still got room where we're paying kind of notably above where they are to begin with.
Brett Rabatin – Sterne Agee: Okay. Great. Thanks for the color.
Operator: (Operator Instructions) Our next question comes from Tim Coffey of FIG Partners. Please go ahead.
Tim Coffey - FIG Partners: Hi. Good morning, gentlemen.
Robert Sarver: Good morning.
Tim Coffey - FIG Partners: Noticing in the slide deck in the segmentation of the loans to deposits, it looks like Nevada is kind of a real good source of deposits. Do you anticipate that to continue over the near to medium term?
Robert Sarver: Yeah, I do. I think it will continue. It’s a -- we have got a good lock box operation out there and good cash management systems. And they are just of all the markets we are in, that's the market that has the least competition, because they are just, as we have said before, most of the banks went out of business. And so there is just pretty limited competition. The economy is recovering, but it’s not robust. So loan growth is still pretty muted there. But from a deposit standpoint, it’s been a good market for us.
Tim Coffey - FIG Partners: Okay. And I know -- given that -- a big chunk of your recoveries were in C&I and that can be variable to say the least. Do you have any kind of confidence in an outlook on what recoveries might be going forward?
Robert Sarver: Well, I know for the third quarter they are going to be pretty good. And we are going to have a strong third quarter. But I think for the next a year or so, we have got a pretty good pipeline.
Tim Coffey - FIG Partners: And then are you planning to do anymore at-the-market offerings?
Robert Sarver: Yes, we are going at least -- for this next quarter we are going to dribble out a little bit of stock. How many shares do we project Dale for this quarter?
Dale Gibbons: Well -- yeah, so we are probably -- maybe 700,000 shares or something like that this quarter.
Robert Sarver: Yeah.
Tim Coffey - FIG Partners: And how many shares came out in the second quarter?
Dale Gibbons: 125.
Tim Coffey - FIG Partners: Great. Those are my questions. Thank you very much.
Operator: (Operator Instructions) Showing no more questions at this time. This concludes our question-and-answer session. I would like to turn the call back over to management for any closing remarks.
Robert Sarver: Yeah, no more here. I appreciate you guys taking the time to join us today. And we are back to work on the third quarter and hopefully get back to you with another strong one. Thanks.
Operator: The conference is now concluded. Thank you for attending today's presentation. You may now disconnect.